Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Rexford Industrial's Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Makela Lynch, Director of Investor Relations and Capital Markets. Please go ahead.
Unknown Executive: Thank you, and welcome to Rexford Industrial's Fourth Quarter 2024 Earnings Conference Call. In addition to yesterday's earnings release, we pull [indiscernible] package and earnings presentation in the Investor Relations section on our website to support today's remarks. As a reminder, management's remarks and responses to your questions may contain forward-looking statements as defined by federal securities laws, which are based on certain assumptions and subject to risks and uncertainties outlined in our 10-K and other SEC filings. As such, actual results may differ, and we assume no obligation to update any forward-looking statements in the future. We'll also discuss non-GAAP financial measures on today's call. Our earnings presentation and supplemental package provide GAAP reconciliations as well as an explanation of why these measures are useful to investors. Joining me today are Co-CEOs, Michael Frankel and Howard Schwimmer, our COO, Laura Clark; and our CFO, Mike Fitzmaurice. Today, Michael and Howard will provide an introduction, followed by Laura on market conditions and operations and [indiscernible] financial results and guidance. It is my pleasure to now introduce Co-CEO, Michael Frankel. Michael?
Michael Frankel: Thanks, Makela, and thank you all for joining us today. I want to begin by acknowledging the devastating wildfires that continue to impact Los Angeles. While we are fortunate our portfolio sustained no damage. Our priority continues to be supporting our Rexford team and our extended community. We're very pleased to welcome Mike Fitzmaurice as our new CFO. With Mike on board, we completed Laura's planned promotion from CFO to Chief Operating Officer. Both Mike and Laura will play key roles in unlocking the full potential of our portfolio and expanding our opportunities for future growth. Now I'll turn the call over to Howard.
Howard Schwimmer: Thanks, Michael, and thank you all for joining. I echo Michael's remarks. Welcoming Mike to the Rexford team and elevating Laura, the COO is a key step forward for the company and we're confident they will continue driving operational excellence across our platform. Before turning the call over to Laura, Michael and I want to take a moment to thank our entire Rexford team for your dedication and strong performance over the past quarter and as we move into 2025. I will now turn the call to Laura.
Unknown Executive: Thank you, Howard, and thank you all for joining us today. Starting with market conditions. We continue to navigate choppiness following pandemic error growth as well as recent macroeconomic, interest rates and political uncertainty. While these factors are impacting our near-term projected 2025 growth, the long-term outlook for supply/demand fundamentals and robust levels of regional consumption within our infill Southern California market remain intact. Although market conditions have impacted overall occupancy and the lease up timing of some repositioning and redevelopment projects, we remain confident we will realize the substantial growth and value creation embedded within our portfolio. Notably, since the start of the year, we have observed the pickup in tenant activity and lease negotiations across our vacant spaces that we are working to convert to executed leases. Regarding market rents, we observed a decline in taking rents for quality products comparable to the Rexford portfolio of 1.5% sequentially and 8% year-over-year. This compares favorably to the broader infill markets which are down 12.5% year-over-year and even more favorably when compared to the larger box market in the Allempire East and West, where rents have declined approximately 25% year-over-year according to CBRE. Consistent with historical trends, Rexford's superior and highly functional infill locations averaging 26,000 square feet have continued to outperform. By way of example, the average executed lease rate on our 8 million square feet of 2024 leasing activity was 19% higher than the executed lease rate across the overall infill markets. Turning to our fourth quarter performance. The Rexford team delivered solid results, in line with our expectations. We executed 1 million square feet of leasing at net effective leasing spreads of 55% and cash leasing spreads of 41% with annual embedded rent steps averaging 3.9%. Same-property average occupancies declined by 120 basis points sequentially driven by the expected move outs communicated last quarter. Regarding investment activity, in the fourth quarter, we stabilized 3 repositioning projects, which met or exceeded our forecasted stabilization timing and yields. For the full year, we stabilized 10 repositioning and redevelopment projects across 825,000 square feet, achieving an aggregate 7.5% unlevered stabilized yield on total investment. During the quarter, we closed 2 acquisitions for $207 million. And for the full year, we completed $1.5 billion of acquisitions projected to generate a 5.6% unlevered stabilized yields. In addition, for the full year, we built 5 properties for a total of $44 million, generating a 12.8% unlevered IRR. In light of current market conditions, our capital allocation strategy is focused on maximizing returns and accretion through capital recycling and repositioning of redevelopment opportunities. With regard to our acquisition pipeline, we currently have no acquisitions under contract or accepted offer. Separately, we have $105 million of dispositions under contract or accepted offer subject to customary closing conditions. Regarding our repositionings and redevelopments, we have 3.5 million square feet of projects under construction or in lease-up, which are projected to deliver a 6.1% unlevered stabilized yield on total investments. Our value creation focus continues to differentiate the Rexford business model and generate substantial embedded NOI growth. Today, our embedded growth represents an estimated 40% increase in total incremental NOI equal to $280 million, which includes annual embedded rent steps averaging 3.7% for the total portfolio, the portfolio lease mark-to-market up 25% on a net effective basis and projected incremental NOI of $75 million from our repositioning and redevelopment projects currently under construction or in lease-up. In closing, as I step into the COO role, I am excited to expand upon my work with the Rexford team to drive greater efficiency, effectiveness and profitability. To that end, recognizing current market conditions, we are taking proactive actions internally to drive further efficiency across the organization. These initiatives resulted in no increase to year-over-year projected G&A despite growing consolidated NOI by 17% in 2024 and demonstrates our commitment to driving shareholder value through all points in the cycle. With that, I'm happy to turn the call over to Mike. We are excited to welcome Fitz to the team and for all he brings to Rexford. Mike?
Michael Fitzmaurice: Thank you for the kind introduction, Laura. To you, Michael and Howard. Thank you for placing your trust in me as we work together to drive Rexford's next phase of growth. I'll now briefly comment on quarterly and full year results, walk through our 2025 guidance and then conclude with the balance sheet. Our fourth quarter 2024 earnings results were in line with our expectations. For the full year, we delivered 7% growth in both core FFO per share and same-property cash NOI demonstrating the resilience of our earnings despite challenging market conditions. Moving on to our initial 2025 outlook. For clarity, as I walk through the components of guidance today, I will be referring to the midpoint of our assumption ranges as disclosed in yesterday's earnings release. And consistent with historical practice, our outlook does not include any assumptions for additional acquisitions, dispositions or related balance sheet activities that have not closed. We are establishing our core FFO guidance range of $2.37 to $2.41 per share. Let's begin with our key same property drivers. Same-property net effective NOI growth is expected to be 1% primarily driven by longer projected downtime, resulting in a decline of 100 basis points in average occupancy, bad debt equating to 70 basis points of revenues cash re-leasing spreads of 20% and contractual increases of 3.7%. As for our value-add construction projects, we estimate $35 million of incremental NOI in the lease-up of repositioning and redevelopment projects, of which $15 million is related to projects leased in 2024. This is partially offset by $20 million of NOI and coming off-line as we commence construction on new projects. For the NOI coming online at 2025, we assume an average lease-up time of 8 months up 2 months compared to our prior quarter expectations. And as Laura highlighted, we are taking proactive measures to control costs. So we scaled our platform by adding 4.6 million square feet last year, we were able to keep G&A flat compared to 2024, reinforcing our commitment to increasing operating leverage. Regarding our balance sheet, we continue to maintain a low leverage profile and strong liquidity. At quarter end, net debt-to-EBITDA was 4.6x. Today, liquidity totaled $1.4 billion including nearly full availability on our $1 billion revolver and $400 million of forward equity requiring settlement by the end of the first quarter. As a reminder, the forward equity was raised in March 2024 at $48.95 per share. As it relates to capital needs for 2025, we have $275 million allocated for repositioning and redevelopment. With no material debt maturities. Lastly, our Board authorized a $300 million share repurchase program, further expanding our opportunities to allocate capital. Before I turn the call over to the operator, I want to thank the entire Rexford team for their warm welcome and support as my family and I settled into Southern California. I'm truly grateful to join a team that upholds such a high standard of excellence, dedication and teamwork. Together, we're going to accomplish great things. Operator?
Operator: [Operator Instructions] We'll take our first question from the line of Mike Mueller with JPMorgan.
Michael Mueller: Yes, I was wondering, looking at the supplemental on Page 20, where you have the leasing volumes going from 3.2 million square feet in 1Q sequentially down to 1 million in 4Q. Can you talk a little bit about what's happening real time and how you see that graph playing out based on what you're guiding to for 2025?
Unknown Executive: Mike, thanks for joining us today. Just what's set on fourth quarter and then we'll look at into what we're seeing in the market today. So in terms of fourth quarter activity, it was the 1 million square feet of leasing was in line with our expectations that we discussed on the call last quarter, really driven by minimum level of lease expirations as well as our expectations around the slower demand environment we were experiencing in the back half of the year. As we look forward to what we're seeing today, importantly, in January, we did see a pickup in overall activity in the market around our leasing negotiations on our vacant spaces. Year-to-date, we've actually executed 1 million square feet of leasing through today through yesterday, which represents the same level of activity in all of -- that also includes lease-up of 3 of our repositioning and redevelopment projects about 200,000 square feet. So we're seeing good activity in the market. I'd say about 90% of our vacant spaces. We have some level of activity and so we're really focused on converting that activity into executed leases.
Operator: Our next question comes from the line of Blaine Heck with Wells Fargo.
Blaine Heck: Great. And certainly, I want to pass along our sympathies to everyone affected by the wildfires. I guess with my 1 question, I just want to dig in a little bit more into the components of cash same-store NOI growth as possible. Obviously, there are some headwinds to occupancy, but maybe you can talk about the puts and takes related to rent spreads, rent bumps, bad debt. even margins and kind of the bridge or how that all builds up to get us closer to the midpoint of guidance.
Michael Fitzmaurice: Sure, Blaine. This is Mike. I'll start with the major drivers. First, it's elevated downtime, increased concessions, higher bad debt and the components of those items are as follows: 270 basis points from cash releasing spreads, which again are about 20% for the year. We have 320 basis points from rent steps, which are driven by the 3.6% in place, for instance, we have in the portfolio. So those are the 2 positive drivers playing offset by about 130 basis points of concessions. And then we're experiencing about 3 months of concessions, which is about up 1 month from last year. Then we had 100 basis points of average accuracy decline that we noted in our press release last night. And then there's just a tiny bit of erosion from net expenses of about 30 basis points. And then the higher bad debt is causing the profile drag about another 80 basis points. That gets to get down to the 2.5% that we posted last night.
Operator: Our next question comes from the line of Andrew Berger with Bank of America.
Unknown Analyst: I know you guys stopped providing commentary on market rent growth forecast. But I saw obviously in the presentation, you highlighted that rents for the comparable portfolio declined minus 1.5% during the quarter. And just curious if you have any high-level thoughts as to how close to the bottom we are and whether or not you think we'll see that stabilize this year.
Michael Frankel: Yes, it's Michael. Thanks so much for dialing in today. Great to hear from you. It's always hard to call a bottom with respect to market rents, a lot of drivers, both on the demand and the supply side. And I think really, what we can tell you is what we're seeing in the markets today. And I think, Laura, did a great job of describing current conditions. And look, the business is fundamentally sound. And I think a lot of the data out there tends to disproportionately cover the big box, larger box markets, frankly. And I think what you're also seeing with regard to market conditions is that our small or medium-sized tenant base is showing more resiliency in terms of market rents at least in Southern California as compared to the larger box tenants. Your larger box tenants are down about 25% year-over-year, whereas our portfolio tenant on average similar quality is down about 8%. So the backdrop and the foundation is there ultimately for market rent growth. It's just hard to say -- it's hard to call when we start to see that inflection point.
Operator: Our next question comes from the line of Steve Becker with Evercore ISI.
Unknown Analyst: Yes. As you look at your 25 lease expirations, you've got, I guess, a little over 7 million feet -- how would you sort of think about retention ratios on that? And are there any large known move-outs that you have in the portfolio this year?
Unknown Executive: Steve, thanks for joining us today. In terms of our occupancy guidance, we are guiding to about 100 basis points of occupancy decline in the portfolio on average portfolio occupancy for 2025. The largest driver of that is really higher projected downtime. So that's longer time between a move-out of a tenant and a new rent commencing. So we're projecting about 6.5 months of projected downtime on average for 2025, and that compares to about 5 months that we experienced in 2024 and it's really associated with longer tenant decision-making and the factors around demand that we've talked about. Just drilling into your question around specific tenants, about the 100 basis point decline, about 70% of it is impacted by 4 tenants. Two of those 4 spaces actually were vacated in the fourth quarter and then the other 2 are expected vacates in 2025.
Michael Fitzmaurice: And then the 1 thing I would add there, Steve, as I mentioned in my prepared remarks, we've got about $20 million or so coming off-line of NOI coming offline at 2025 related to preparing projects for our repositioned redevelopment. Most of those on a weighted average basis come off in the first quarter. So from a shape of our occupancy relative to the start of this year, it's going to decelerate in the first quarter and reaccelerate in the back 9 months of the year.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets.
John Kim: Congrats to you, Mike. Can you just walk us through, again, the GAAP same-store NOI growth. I'm a little bit unclear as to why that would be lower than your cash same-store guidance the gap spreads would likely be higher than cash. You don't have the free rent impacting GAAP with cash. I know you went through the flat occupancy and the bad debt, but what else would be driving that gap same-store lower than cash?
Unknown Executive: Yes. So the delta between our midpoint on cash at 2.5% and 1% on the net effective is really a straight-line rent as we burn off below-market leases, which are generally in our portfolio where we're at in our -- the evolution of our leases were in the back half of the leases. So that's the drag there.
Operator: Our next question comes from the line of Greg McGinniss with Scotiabank.
Greg McGinniss: I was just wondering if you could talk about your view on trying to understand the lease-up sorry, the leasing has improved or the view on leasing activity has somewhat improved into the beginning of this year, but then offset by that commentary on pushing out the development and leasing. So is that just a selective of the development leasing is what's happened recently versus kind of going on more recently on leasing? Or if you can just kind of reconcile those 2 comments for us? Appreciate it. .
Unknown Executive: Yes. I'll just from a guidance perspective in the range we set out there last night, it's based on today's realities with the most up-to-date information as of early this week, some of the commentary that Laura just shared with you on the nice momentum we're experiencing here over the last week with leasing activity. We take a very battle approach with budgeting every lease, every asset. We look at every specific assumption and align that with the risk of the market. And so we feel very good about where we're at with the range today and it takes into account all the information up until just a few days ago.
Diana Ingram: Yes. I mean -- and I think what I'll add is what we're seeing around demand and what's -- there's a number of factors, I believe, that are impacting this increase in demand. I think, number one, we're seeing some clarity. The tenants are seeing some clarity around the interest rate environment, political environment. And I do believe that's unlocking some pent-up demand that's been in the market. We're seeing that tenants are valuing higher quality functional space in the market. They're really focused on space that allows them to drive higher revenue, how can they gain efficiencies. And that's the Rexford product. We're delivering the highest quality, highest functional space into the market and I think that's driving some of our incremental demand as well. But we are continuing to see tenants being very thoughtful about the decisions they're making around expansion and their space needs and it is continuing to take some time for those decisions to happen in the lease-up space. And so as those opportunities convert into executed leases, you'll see that flow through our results.
Operator: Our next question comes from the line of Nick Thillman with Baird.
Nicholas Thillman: Mike, I appreciate the commentary on redevelopment. So just and taking some of the NOI off-line. So just to drill down a little bit, you guys identified 3.3 million square feet of redevelopment and repositioning. But what percentage of that I guess, is from the 2025 expirations of the 7.5 million square feet. And what's the expected spend of that amount this year?
Michael Fitzmaurice: The spend for this year that we have earmarked for repositioner development, it's about $275 million.
Operator: Our next question comes from the line of Vikram Malhotra with Mizuho.
Vikram Malhotra: I guess I wanted to just touch on your slide. You've given some key messages. One of them is capital allocation, you referred to like no acquisitions but dispositions. So perhaps maybe just stepping back 2 parts to that. One, in this environment, given the superior quality you've outlined, if there is sort of a portfolio kind of once in generation that presents itself, your peers are maybe hurting more. Do you act upon that? And then capital allocation, wise, what about buybacks?
Unknown Executive: Vikram, thanks so much for joining us today. Great questions all around capital allocation. Let's just take a step back and talk about our priorities. Our priorities have changed in light of today's market and our current cost of capital. To that end, our hurdle rates have increased, and we are focused on capital recycling and executing on our repositioning and redevelopment. As we think about capital recycling, we believe dispositions continue to be an attractive source of capital, obviously represented by the $105 million that we have under contract or accept to offer today. Those allow us to capture value and redeploy that into accretive opportunities. And that certainly includes our repositioning redevelopment that drive substantial incremental yields potentially our own stock share repurchases and potentially acquisitions that they'd have to meet our very high hurdle rates in today's environment.
Howard Schwimmer: And Vikram Hi, it's Howard. You asked about a once-in-a-lifetime portfolio. We monitor plenty of opportunities in the market. But as I think we've made clear our hurdle rates are up. And if we were going to buy something larger, they certainly have to meet those hurdle rates. And there's absolutely no reason for us to change those hurdle rates just because a portfolio comes up available for sale.
Operator: Our next question comes from the line of Craig Mailman with Citi.
Craig Mailman: Just a follow-up on the capital allocation piece. It seems like you guys are clearly shying away from acquisitions, at least in the near term here. But could you just give us a sense of the stock has been depressed here for a couple of months now. Why go through with the December acquisition. Why not [ punt ] on that, use that capital for higher-yielding redevelopment and then use some of the ATM issuance you have to pull out for I mean -- I guess you keep that on the balance sheet, it's not overly earnings dilutive and you can -- you saw it for buybacks. -- why even spend the money on the recent acquisition at that yield given where your stock is trading?
Howard Schwimmer: Craig, it's Howard. Well, first of all, the property we bought has fantastic functionality. It's an A location. And I'll just remind you that the capital we used in buying that asset was the forward equity that was raised at about $49 a share. And if you look at the transaction, the initial yield that is about $48 and by year 4, we're already at a 5.5% in-place yield. So that's turning away with 4% rent increases annually, and there's about 6.5 years currently left on the term of the lease. And obviously, the hurdle rates would be different. I think I just made that clear on my last comment, if we start looking at new transactions, but with that capital that we used, there was actually accretion.
Operator: Our next question is a follow-up from the line of Blaine Heck with Wells Fargo.
Blaine Heck: Yes. Great. Clearly, we're still very early in the process of determining kind of the ultimate impact of the wildfires in the region. But can you share any early reads or anecdotes around potential demand that could arise for industrial space to support kind of the rebuilding effort and whether you think any specific submarkets or building sizes might see the most incremental demand?
Michael Frankel: Blaine, thanks again for the question. It's Michael. No, look, it is early and obviously, our hearts go out to everybody impacted by these tragic fires. But the fact of matter is, if you look at the backdrop before the fires, we already had a significant mandate to increase housing in Southern California by about 2.5 million units of affordable housing. And we had already started to see a marginal increase in demand from the building trades, et cetera. And I think that there's no question with the volume, the magnitude of impact derived from the fires that we're going to see demand. And I think it will come in phases. And frankly, we have tenants that service all phases of rebuilding. It's going to start with infrastructure, pipes, conduit, wire. We have tenants that service that and store that and deliver that and install that and then it's going to move on up to wood and framing and steel and everything that goes into a home. And these aren't just affordable houses and affordable housing units. This is -- these are homes that deploy extensive finishes and extensive appliance, level of appliances. So I think there's no question it's going to drive incremental demand over time for the portfolio.
Operator: Our next question is a follow-up from the line of John Kim with BMO Capital Markets.
John Kim: I do like the 1 question rule, but I did want to follow up on -- my question on the cap spreads you expect this year? You signed at 55% in the fourth quarter. I imagine a lot of that is going to commence in 2025. But what should we be modeling as far as GAAP spreads?
Unknown Executive: Yes. GAAP spreads are expected to be about 30% in 2025.
Operator: Our next question is a follow-up from the line of Vikram Malhotra with Mizuho.
Vikram Malhotra: So first on leasing. I think you said you've done 1 million square foot year-to-date. I was wondering if you could kind of break that out into new and renewal and clarify the comment you had on taking rents. I think you said were up 1.5% sequentially and 8% year-over-year. I'm just wondering how does that compare to what you have in the deck in terms of comparable rent growth?
Unknown Executive: Yes. In terms of the leasing activity today, it's about 1/3 new, 2/3 renewals, which is pretty consistent with what we typically see within a leasing quarter.
Vikram Malhotra: The second was just you mentioned something about 8% year-over-year rent growth in taking rents and 1.5% sequentially. I just want to understand how does that compare? Or like what -- compared to what you put in the deck, which is year-over-year, your rent growth is down 8% and 1.5% sequentially.
Unknown Executive: Yes. That's the market rent growth that we've experienced within the Rexford portfolio and comparable product to ours within the portfolio.
David Lanzer: Yes. And just from a guide perspective, what we've baked in for 2025, we're assuming flat growth throughout the year relative to last year and our market rate assumptions. And we'll give more details. Next quarter in terms of lease spreads, et cetera, in what we accomplished this quarter.
Operator: Our next question is a follow-up from the line of Steve Becker with Evercore ISI.
Unknown Analyst: I just wanted to clarify, Laura, when you talked about the -- or Mike, when you talked about the 100 basis decline. Was that relating to the same-store occupancy decline, which is part of guidance? Or was that 100 basis point decline on kind of the overall portfolio, which has continued to drift down. I think it was a little over 91% at the end of the year.
Unknown Executive: Yes, it's 100 basis points of average occupancy decline for same properties.
Operator: And that will conclude our question-and-answer session. I'll turn the call back over to Laura Clark for any closing remarks.
Unknown Executive: Before we wrap up, I'd like to leave you all with 2 final thoughts. First is that our infill Southern California market and portfolio are uniquely positioned for long-term value creation despite some near-term market challenges. Our projected embedded internal growth opportunity remains substantial, equal to $280 million of incremental NOI, and that represents 40% growth. Second, we maintain a strong financial position and are taking a disciplined approach to capital allocation with a focus on maximizing returns and accretion and while also proactively enhancing operational efficiencies to drive shareholder value. With that, we thank you all for joining us today.
Operator: That will conclude today's call. Thank you all for joining, and you may now disconnect.